Operator: Welcome to Retail Opportunity Investments' 2021 First Quarter Conference Call. Participants are currently in a listen-only mode. Following the company's prepared comments, the call will be opened up for questions. Please note that certain matters discussed in this call today constitute forward-looking statements within the meaning of federal securities laws. Although, the company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, the company can give no assurance that these expectations will be achieved.
Stuart Tanz: Thank you. Good day everyone. We appreciate everyone joining us today and hope that you and your families are all doing well. Here with me today is Michael Haines, our Chief Financial Officer; and Rich Schoebel, our Chief Operating Officer. While it's only been a few short months since our last earnings call, we are pleased to report that a lot of encouraging progress is now underway on the West Coast. All businesses up and down the West Coast are now allowed to be open. In terms of our portfolio, we are pleased to report that today over 99% of our tenants are currently open and operating. We only have just a small handful of tenants that have yet to reopen, primarily a few salon, fitness, and restaurant tenants, all of which have indicated that they are preparing to reopen soon. With businesses reopening, customer traffic and shopping activity have also both ramped up. Additionally, with over 99% of our tenants now open, our rent collection is heading towards pre-pandemic levels as well. Notwithstanding that the West Coast only recently began reopening; we still receive approximately 92% of our bill base rent in the first quarter. Since the shutdowns began being lifted, our collection rate has been steadily increasing. As highlighted in our press release, we've already received approximately 93% of our base rent for April, which is ahead of our historic pace during the pandemic. Assuming there are no setbacks regarding the pandemic, we expect our rent collection rate will head towards pre-pandemic levels as we move through the second quarter. In step with tenants reopening, customer activity wrapping up and rent collection steadily increasing, leasing activity is also returning to pre-pandemic levels, while occupancy typically drops in the first quarter following the holiday season, however, given the considerable pent up demand for space that had been building across our portfolio during the last shutdown, as many businesses were waiting for the rollout of vaccines to begin, we were able to capitalize on that demand and actually achieved positive rent absorption in the first quarter, while also achieving positive rent spreads.
Michael Haines: Thanks Stuart. Starting with our first quarter financial results, GAAP net income attributable to common shareholders for the first quarter of 2021 was $7.4 million, equating to $0.06 per diluted share. Funds from operations for the first quarter totaled $31 million, equating to $0.24 per diluted share. Same-center net operating income, which includes all 88 of our shopping centers totaled of $47.2 million for the first quarter of 2021, which is 5.6% below our same-center NOI for the first quarter of last year prior to the pandemic. Notwithstanding the first quarter number, which we anticipated, we continue to expect same-center NOI will be between zero and 3% growth for the full year. Today, we received 91.8% of total billed base rent growth first quarter. As Stuart touched on during a good portion of first quarter, the West Coast was still under business restriction mandates. So, for us to collect nearly 92% of our billed base rent speaks to the strength of our grocery anchored portfolio. With respect to the remaining 8%, which totals approximately $4.1 million, 1.6 million of that we set aside as a bad debt reserve. While our bad debt is still a bit elevated as compared to our historical quarterly bad debt, $1.6 million is a notable improvement over our quarterly bad debt during the height of the pandemic.
Rich Schoebel: Thanks Mike. Expanding on Stuart's comments, leasing activity and demand for space over the past couple of months has been accelerating sharply. The demand runs the gamut from existing tenant relocations and expansions to new tenants moving their businesses to our centers from other competing properties, to new businesses entering the market for the first time, or expanding the reach on the West Coast. The underlying theme that we're consistently hearing from existing as well as prospective tenants is that they are all optimistic about their business prospects going forward. As a result of this increased activity. As Stuart indicated, our portfolio lease rate increased during the first quarter to 96.9% as of March 31st. Breaking that down between anchor and non-anchor space, our anchor space continues to be 100% leased, as it has been throughout the pandemic and our shop space is now over 93% leased. While tenant optimism and demand for space is strong, given that we are not yet entirely out of the woods with the pandemic, during the first quarter, there was a fair amount of back and forth in terms of negotiating the initial base rent, which is reflected in our rent spreads that increased by 4.9%. While the spread is below our typical double-digit increase on new leases, from our perspective, our number one goal coming out of the pandemic is to enhance tenancies at every opportunity. And we're doing just that; focusing on businesses that have performed impressively well throughout the pandemic.
Stuart Tanz: Thanks Rich. As the momentum and activity builds across our portfolio, we are also now starting again to seek out acquisition opportunities. We are focusing our efforts specifically on off-market opportunities to acquire neighborhood shopping centers that are simply grocery anchored with maybe one or two sub anchor necessity-based tenants. Over the past year the properties in our portfolio that hands down perform the best with essentially no issues during the pandemic where exactly this profile. While it's a bit too early to talk specifics, we do have several off-market opportunities that we are currently looking at closely that fit this profile nicely. In terms of dispositions beyond the one property that we sold last week for $25.8 million, which generated a gain of over $9 million. Looking ahead as the acquisition market is now starting to come back in earnest, we are planning to move forward this quarter with marketing for sell our last two properties in Sacramento. Once we sell these properties, we will fully be exiting the Sacramento market. Finally, with the pandemic subsiding, we are now making plans to return to working in the office starting in June. And preparing for everyone's return, we've implemented significant enhancements to our office, aimed at ensuring the safety and well-being of everyone following all the proper protocols and then some.
Operator:  Your first question comes from the line of Katy McConnell with Citi. Your line is now open.
Stuart Tanz: Good morning Katy.
Katy McConnell: Good afternoon, everyone. So, given you saw a positive net absorption this quarter, do you expect commence occupancy will continue to improve from here? Or are you assuming you could still see some potential occupancy from the tenant categories where rent collections are still pretty well?
Stuart Tanz: I think that occupancy will continue to stay strong for us. I think that as we move into the third quarter, and certainly the fourth quarter, I'm expecting that that will continue to be a positive number in terms of absorption.
Katy McConnell: Okay. Thanks. And then just on the acquisition side, can you talk about your appetite to get more opportunistic as far as equity funding at these levels based on the deal you're looking at today?
Stuart Tanz: In terms of equity funding, on acquisitions, Mike, well, we haven't raised any equity.
Michael Haines: Right.
Stuart Tanz: Mike?
Michael Haines: I would say just given that we don't have any debt maturing this year and our credit line balance is almost zero, we don't have an immediate need to use to raising equity. That said, we start acquiring properties again, then we look to raise equity to help fund those acquisitions together the proceeds from the Sacramento dispositions.
Katy McConnell: Okay, great. Thanks.
Stuart Tanz: Thank you.
Operator: Your next question comes from the line of Craig Schmidt with Bank of America. Your lines now open.
Stuart Tanz: Good morning, Craig.
Craig Schmidt: Good morning or good afternoon. Yes. Hey, I was wondering where cap rates are for Class A grocery anchored centers in the West Coast of California, Oregon, and Washington, there has been a lot of chatter? And where would those cap rates stand relative to pre-COVID cap rates?
Stuart Tanz: Well, there hasn't been a lot of activity in the market in terms of high quality grocery drug anchored shopping centers. What we have seen more recently, cap rates have actually contracted. In fact, you could say that, given the fact that capital today is much more focused in towards the grocery drug anchored segment of retail, that what we're hearing is that cap rate compression should continue as we look forward for the rest of the year. So, although there hasn't been any meaningful transactions that we can look to, what I can tell you -- and the chatter we're hearing on the West Coast, is that capital is now beginning to build for this product type and we're expecting valuations to go up and cap rate compression to continue. That cap rate compression will be probably less than it was before the pandemic.
Craig Schmidt: Okay. I've been hearing similar thing. And then in terms of increasing construction costs, is that impacting your plans for the densification efforts you're pursuing particularly is the first three?
Stuart Tanz: It's something we're watching very closely. I think where we're at in terms of the process here in terms of permitting; we do not expect to break ground this year. It would be early next year and we're hopeful that those pricing will come back more in line with where it was pre-pandemic.
Craig Schmidt: Okay. Thank you.
Stuart Tanz: Thank you.
Operator: Your next question comes from the line of Michael Gorman with BTIG. Your line is now open.
Stuart Tanz: Good morning Mike.
Michael Gorman: Good morning out there. A quick question on the tenant side of things, I'm just curious what the conversations are like that you're having with some of the tenants that are on the more challenged side? From your perspective, as a landlord, you're almost a year and clearly, you've got a lot of demand on the leasing side. So, what are the conversations like with those tenants that still aren't able to either get open or still aren't able to pay their rent at this point?
Stuart Tanz: The tenant base is still very optimistic. And I think they all at this point, see the light at the end of the tunnel in terms of getting open and operating at full capacity, pre-pandemic levels. The tenants that have weathered this storm to this point are really just focused on the future. At this point, we're having almost very few conversations relative to rent referrals. We've been very successful in getting grants from local municipalities and other aid sources to our tenant base so that they've been able to weather this storm. So, what we're hearing is just a lot of optimism.
Michael Gorman: Okay. And then maybe away from the restrictions, I know, this came up on the last quarter call, but Kroger closed two of their locations, over the course of the past couple of months because of wages, obviously, a lot of raw material pressures on some of the retailers, are you seeing increased pressure on your tenants away from just the business restrictions and even in their normal course of business?
Stuart Tanz: No, I mean, obviously, I think what we do hear a lot about is the minimum wage and the impact that has, also some hesitancy and some employees willingness to come back to work given the government support that they're currently receiving. But having said that, our tenants, again, have been able to staff their stores, at the necessary levels to keep going forward. We're actually working with Kroger, on expansions, and some new click-and-collect initiatives that are some things, they're testing out a few of our properties. So, the tenant base again, is -- from the anchors all the way to the small shop tenants are very optimistic, and they're weathering these various aspects that they're dealing with.
Michael Gorman: Okay, great. And then maybe Stuart, just taking a step back from a strategic level and piggybacking a little bit on Craig's question. As you start looking more at the acquisition market, sounds like it's heating up a little bit more as you look to market -- the Sacramento assets. How are you thinking about looking at the NOI, looking at the rent rolls of either a potential target or as you're thinking about selling some of these assets? Are you are you projecting complete return to pre-pandemic levels? Just -- because obviously, the cap rates are one half of the equation? How are you thinking about the NOI side of the equation as you underwrite assets?
Stuart Tanz: Very conservatively, and in most cases, in terms of the deals that we have on the table right now, which are, again, off-market very high quality. We're giving no credit to the NOI associated with any tenant that has either had deferral or we think potentially could go out of business. So, we're underwriting again, very conservatively. And more importantly, we realized that whatever we buy at this point, we're really focused to make sure that there's strong internal growth, that and value that can be created after closing.
Michael Gorman: Fantastic. And then just one, one last mechanical one, Mike on the dividend, obviously, it's been a benefit from the retain cash flow perspective. How is that trending from the taxable income side of the equation? Will there -- are you going to be required to boost that in second half from a taxable income perspective, or do you have room there?
Michael Haines: It's kind of hard to tell right now, Mike. We originally set it to be kind of tied or matched to what we anticipated 2021 taxable income to be, but that's going to move around a little bit, particularly if things improve more rapidly than we thought. So, I'm kind of measuring it as we go through the year and if we need to increase it to match taxable income, then we'll end up doing that for sure.
Michael Gorman: All right, thanks, gentlemen. Appreciate the color.
Stuart Tanz: Thank you.
Operator: Your next question comes from line of Juan Sanabria with BMO Capital. Your line is now open.
Stuart Tanz: Good morning Juan.
Juan Sanabria: Good morning. Thanks for the time. I was just hoping for a little bit more color on the guidance ranges both for same-store and FFO and what would be the drivers for the top and the bottom? And what would feel most comfortable now? And are you including any noise or one-time benefit from any tenants you may be cash accounting, we're getting some deferrals paid back at all?
Stuart Tanz: Well, we're still comfortable with our ranges zero to 3% for the year. It's going to be kind of lumpy as you go through the quarters. But you got to remember we're measuring 2021 against 2020. We didn't move anyone to cash basis accounting. So, it's all the revenues have accrued. It's more of a balance sheet as shown on the collection side. So, we're still comfortable with the FFO guidance of $0.95 to $1.02 and the same-store zero to 3% given where we are today.
Juan Sanabria: Okay. And just following up on Craig's earlier question on cap rates, can you give us any color on the cap rates on the San Diego sale and kind of what you're thinking you can get for Sacramento and how that compares to maybe just a range of going and cap rates for potential acquisitions, you're underwriting conservatively there?
Stuart Tanz: Sure. San Diego with income in place on closing the low fives and in terms of Sacramento, the range there is probably going to be anywhere from 6% to 8%.
Juan Sanabria: And any color on are kind of what you're seeing for acquisitions is think about the two in tandem?
Stuart Tanz: The current acquisitions, we are looking at the -- these are extremely well-located high quality assets where -- I can give you sort of a range, probably in the 5.5% to 6% with the ability to create about 150 basis points of a yield -- increase in yield over an 18 month period of time.
Juan Sanabria: Great. Thanks. And just one technical question. What was the change in the same-store asset count sequentially in the first quarter? We did get to add one asset?
Stuart Tanz: Mike I think it's the same pool, right, same quarter to same quarter in terms of --
Michael Haines: -- what would not be in the same pool.
Stuart Tanz: I think it's the exact same pool as last year. What we'll quickly look -- Mike, we'll take a quick look at that. But I believe it is the exact same pool from last year one.
Michael Haines: Yes, 88 da properties were booked.
Stuart Tanz: Same pool. Exactly.
Juan Sanabria: If I look at the fourth quarter, you had 87 assets in the same-store pool -- this time fourth quarter versus first quarter? We could take it offline.
Stuart Tanz: Yes, I think it might be Summerwalk, which was acquisition we did in Seattle, just outside of -- in the metro Seattle market. That may be the one property.
Michael Haines: We bought them during the fourth quarter of 2019. So, it's now in the pool for quarter-over-quarter.
Stuart Tanz: Got it.
Juan Sanabria: Thank you.
Stuart Tanz: Thank you.
Operator: Your next question comes from the line at Wes Golladay with Baird. Your line is now open.
Stuart Tanz: Good morning, Wes.
Wes Golladay: Hey, good morning, Stuart. Good morning, everyone. Can you maybe talk about the timing of commencing that $9.6 million of AVR. Maybe you frame it up as how much this year? And how much next year? And we'll be back half loaded?
Stuart Tanz: Yes, I think that most of this will come on -- a big chunk will come on by the end of this year, certainly back loaded into the third and fourth quarter. Of course, it's always changing. We're always adding to it as well. So, -- but we do expect to bring that number down this year.
Wes Golladay: Got you. And then you also mentioned may be taking a different approach on leasing right now new and renewal, I guess, when do you anticipate going back to I guess going back there achieving historic levels of renewal lease and a new leasing spreads?
Stuart Tanz: Yes, I mean, I don't know if it's really a new focus. We've always been focused on keeping the properties highly occupied. And but we do foresee that going into the third and fourth quarter that we should be getting ourselves back to more normalized spreads.
Wes Golladay: Okay. And then when we look at the tenants that are not paying, you obviously have some deferrals. But I guess with a bucket that is you're reserving against. Are they mostly gone by now? Or is it still -- is it more of a dispute of we don't think we need to pay when we were close and going forward, they may be a good tenant, I guess, how many truly is our risk out of the run rate going forward?
Michael Haines: Well, I think we've been fairly conservative in terms of our reserves. And yes, there's certainly a subset of tenants that we are going back and forth on as it relates to some positions they've taken about whether they have to pay rent or not. But in those cases, as I said, we've tried to be conservative in terms of the reserves we placed on them. At this point, it's really down to a very small set of tenants that we are going back and forth with on this, and as people have been opening up, we've been able to resolve many of the ones that were lingering.
Wes Golladay: Got you. And then one last one. Looking at the portfolio throughout all regions is pretty well lease with the exception of the Kress asset, which is well located about 69.2%. I guess, any plans that, I guess, bring that back up to highly straight over the near term?
Stuart Tanz: Yes. Yes.
Michael Haines : Yes. We've got a good demand for the space in Seattle. I think, as you know, many people have seen Seattle is suffered from things other than the pandemic this year. And I think as businesses are opening up, and the office buildings continue to increase their daytime occupancy, we expect that the Seattle market will come back very strong.
Stuart Tanz: Yes, and that's Downtown Seattle, not the overall market.
Michael Haines : Kress. Correct.
Wes Golladay: Got it. Thanks for taking the questions, guys.
Stuart Tanz: Thank you.
Operator: Your next question comes from the line of Todd Thomas with Todd Thomas Markets. Your line is now open.
Stuart Tanz: Hi, Todd.
Michael Haines: Good morning, Todd.
Todd Thomas : Hi, good morning. A couple questions, I guess, on acquisitions and transactions. Stuart, historically, you've acquired pretty core or I guess core plus assets with some below market rents in some instances. As you begin to look at investments here, are you targeting similar assets? Or are you starting to see and target more value-add or opportunistic investments as you look ahead?
Stuart Tanz: Very high quality stabilized assets is what we have our eye on right now. And what I think we'll begin transacting on as we move through the core.
Todd Thomas : Okay. And then you also -- you commented that capitals beginning to build for grocery and drug-anchored centers. I think you mentioned that it's not where it was pre-pandemic, though. Can you just elaborate a little bit more on that comment and describe the competitive landscape today? And who you're seeing in your markets show up in terms of competition as you start to look at investments and what that's like a little bit?
Stuart Tanz: Sure. From a capital perspective, what we're hearing on the ground is that there has been and will continue to be a very large shift from multi-family and industrial into retail, with the primary focus of grocery drug-anchored. Cap rates in those sectors have now in the threes, I think capital realizes that they now get a better spread for assets that are very stable in nature, very defensive in nature, and very, and let's say, stable, that's long-term cash flow. From a capital perspective, we're seeing a certain flow now of capital leaving certain sectors and coming with, again, into the grocery drug-anchored format. In terms of the buyer profile, certainly the 1031 market is heating back up for grocery drug-anchored. And institutional capital is also beginning to heat up again. The institutional capital side left the market during the pandemic. They're now -- we're beginning to see them come back. So the competition's really coming from the 1031 market, institutional capital and some private buyers.
Todd Thomas : Okay. That's helpful. Mike, in terms of the guidance, the -- you reaffirm the guidance, the FFO guidance, and that included the $25.8 million sale. Is there any -- are there any additional dispositions to Sacramento assets or anything else that's embedded in the guidance and what's the timing like, what should we expect with regard to Sacramento?
Michael Haines : I would think maybe Sacramento was probably the back-end loaded for the year, but it wasn't built into our original guidance. And so if we do transact and sell those, we'll probably like we looked at just 1031 into new assets.
Todd Thomas : Okay. And then just one last one, Mike, with regard to the bad debt. So $1.6 million in the quarter, and you mentioned that you expect to see that get back toward pre-pandemic levels, which was -- you mentioned below a $1 million per quarter. When do you see that starting to happen? Do you expect that in the second quarter? Or do you think it will take a little bit longer than that?
Michael Haines : I don't know if we'll get all the way back down below a $1 million by the end of the second quarter. But as the whole West Coast continues to open up, and our collection rates kind of go back to our pre pandemic levels, that just naturally just kind of drop off. But it may not happen right away by Q2, it might be lead into Q3 depending on re-openings.
Todd Thomas : Okay. Great. All right. Thank you.
Stuart Tanz: Thank you.
Operator: Your next question comes from line of Mike Mueller with JPMorgan. Your line is now open.
Mike Mueller: Hi.
Stuart Tanz: Good morning, Mike.
Mike Mueller: Hey, good morning. Quick follow-up on the reserve. If you're looking at that $1.6 million, can you just give us a sense as to where there some chunky components in there? Or is it like lots of little tenants, I mean, just what's making up that $1.6 million?
Michael Haines : To recall…
Stuart Tanz: I mean, I don't know that it's -- and the tilted in any direction. We go through the reserves on a tenant-by-tenant basis, and we look at each individual case and make the appropriate reserve based on the circumstances of that tenant. So it's a very detailed tenant-by-tenant review.
Michael Haines : As you would expect, it’s probably kind of more heavily weighted towards the restaurants….
Stuart Tanz: Sure. Absolutely.
Michael Haines : …and the tenant categories.
Stuart Tanz: Absolutely.
Mike Mueller: Got it. Okay. And then, I think that you Stuart mention talking about medical tenants in terms of leasing activity. And just curious when you think about those uses, and bringing those uses into a center where you haven't had them before? I mean, do you view them as more of like a junior anchor, how to rents compared to other forms of retail you would have had in there beforehand, just any sort of color would be great?
Stuart Tanz: Rents are typically very strong higher, TIs are typically a bit more. And in terms of the tenant mix, they're a great tenant to have, because they certainly are necessity base. And it does seem like given the circumstances that we've all been through, that people certainly love the fact that they have the convenience of getting in their car and getting medical attention very quickly. And I think that's what's driving a lot of this throughout the country and our portfolio is the fact that someone versus getting on the internet can get in their car and within a minute to two minutes get medical attention.
Mike Mueller: Got it. Okay. That was it. Thank you.
Stuart Tanz: Thank you.
Operator: Your next question comes from the line of Linda Tsai with Jefferies. Your line is now open.
Stuart Tanz: Good morning, Linda.
Linda Tsai : Good morning. Just a follow-up to Mike's question. In terms of the TIs being a little higher for new uses, like urgent care, what should we expect for TIs spends directionally in 2021 versus last year or maybe 2019?
Michael Haines : Well, overall CapEx of the company is going to be relatively light for two reasons. Number one, we haven't had any anchor fallout, thank God, touchwood. And so from that perspective, we don't really see that -- from that perspective, capital or TIs will be relatively very low for us. From an in-line shop space, depending on how much turnover we have. We also believe that that number will trend less as for as well, in fact, I think if you look at our supplemental in the first quarter of the year, that's exactly what's been reflective. I don't know, Rich, if you want to add.
Rich Schoebel: I guess, the only thing I would add to that is on these tenants that take a bit more TI, they're also the type of users that were signing longer-term leases, and they typically don't go anywhere because the cost to relocate is quite high. And once the improvements are in place, we're able to utilize that for a future tenant if someone were to leave the center. So it's really at some level an investment in the property that will reap rewards going forward as well.
Linda Tsai: Thanks for that. And then just in terms of the color that you provided on the targeted acquisitions, smaller grocery-anchored with one or two other tenants. What percentage of your existing portfolio fits this profile? And then what are your thoughts on why this was a superior performing format during the pandemic?
Stuart Tanz: Well, certainly, when you look at our portfolio outside of Fallbrook and Crossroads, which are two larger centers, which are two, in my humble opinion, two of the strongest assets on the West Coast, everything else basically fits that profile. In terms of looking at the profile, I think at the end of the day, certainly I think is no Linda, this management team has been doing this for close to three decades. This has been the product type that we that, time after time after time has been the most resilient. And more importantly, coming out of the pandemic, this tenant base is certainly been the tenant base that is held up as it relates to deferrals, abatements. And more importantly, the fact that these tenants, in my view, in our view are going to sustain going through this pandemic and looking forward are going to have the ability to keep paying rents at or higher levels than they have in the past.
Linda Tsai: Thank you.
Operator: Your next question comes from the -- my apologies. Your next question comes from blinds at the Chris Lucas with Capital One Securities. Your line is now open.
Stuart Tanz: Good morning, Chris.
Chris Lucas: Hey, Stuart, how are you?
Stuart Tanz: Good.
Chris Lucas: I’m good. Rich, I was hoping to get a little more color on the book to build maybe if you could provide a sense as to whether or not there's any particular market that is more active than others at this point relative to sort of the pro rata share of your portfolio?
Rich Schoebel: No, I wouldn't say it's weighted either, towards any particular region.
Chris Lucas: Okay. Is there much book-to-build in the Sacramento portfolio at all just curious as to what sort of was necessary there to get those assets to a point where the lease up was, got those assets ready for sale?
Rich Schoebel: No, there's, there has not been significant. There's not a lot of dollars represented from the Sacramento portfolio in that number.
Chris Lucas: Okay. Thanks. And then I guess bigger picture, Stuart. So, Portland's going back into the extreme risk of restrictions on Friday. I guess, I just wonder from the tenants perspective, particularly small tenants that are most impacted by this sort of, open, not open, limited, open, difficulty in getting employees to come back, what are you hearing from them in terms of their ability to continue to persevere in an environment where they're sort of on and off on a kind of seems like every six week basis at this point?
Stuart Tanz: Well, remember, Chris, it's county by county. It's a temporary shutdown. In fact, what we've been told is this will be the last shutdown, our exposure in terms of the tenants that are going to be impacted as middle. And any I would tell you, the group that's probably been impacted as just the full service restaurants may be a bit of fitness. But all in all, that segment of our portfolio is holding up extremely well. Collections are very strong. And the tenant base that we currently have today, as we as we had in the past, are very optimistic in terms of the marketplace. So it's to us, it's just a small sort of believing in the process here. And it's very temporary in nature. So we don't really see any impact in terms of this shutdown.
Chris Lucas: Thank you. That's all I had.
Stuart Tanz: Thanks Chris.
Operator: Your next question comes from the line of Paulina Rojas Schmidt with Green Street. Your line is now open.
Stuart Tanz: Good morning.
Paulina Rojas Schmidt: Hi, there. Physical occupancy during the quarter held up much better than I anticipated. Directionally, I'm not interested in a specific number, how do you think occupancy will trend during the year increased slightly, declined slightly, or more meaningful movements? Do you have any range in mind? I would love to hear how are you thinking about this metric?
Rich Schoebel: Given, the demand for space, the leasing team is, is very busy. And, we expect that, you well, the second quarter may be sort of on par with the first quarter as we go throughout the year. We expect to, hopefully get our occupancy up, just to touch to finish out the year very strong. There's a lot of demand for the space out there coming from a lot of different tenants.
Paulina Rojas Schmidt: And then, based on what do you see on the ground, do you think investors or retailers, perception of the markets are in has changed at all in the last 12 months? And have you noticed, for example, more interest in certain regions over others, any corner on the market trends for your West Coast corridor, of course, would be appreciated?
Rich Schoebel: I think, as, you know, what the tenant base has seen out there is, as Stuart was touching on the strength of our university drug anchor portfolio, and the fact that they are properties have essentially remained open throughout the pandemic has increased the desire to come to our properties, we have brought tenants in from, enclosed malls and from promotional centers and, big more regional type of centers into our property, because they see that as you know, where they can operate more fully and have the foot traffic that can support their business. So we've seen a shift of tenants, looking at our product type coming out of other product types.
Stuart Tanz: And the velocity of foot traffic is definitely increased. I mean, I think as you know, because I know you're in California. We expect, you know, our governor to open up, take all restrictions off by June 15. So from that perspective, the optimism has never been stronger on the ground. And we believe that the velocity of foot traffic will continue to build and at our centers, and they have been strong throughout the pandemic as Rich said, because we're grocery drug anchored. But we're really starting to see even more velocity now that most people are vaccinated on the West Coast. And the fact that the all the restrictions will be lifted shortly.
Paulina Rojas Schmidt: Okay. Thank you. Thank you.
Stuart Tanz: Thank you.
Operator: Your next question comes from the line Michael Gorman with BTIG. Your line is now open.
Stuart Tanz: Hey, Mike.
Michael Gorman: Hi. Just a quick follow up. Going back to the acquisitions, there's been a lot of discussion nationally about changes to the tax structure or capital gains, maybe changes on inheritance taxes. And I curious, some of these off market deals that you're looking at, I would assume op units are going to be a factor. If that's the case, and how are you thinking about op units here as a competitive advantage, given the potential volatility in some of these tax structures that could influence behavior?
Stuart Tanz: Yeah, no. It's a great question, Mike. And I do agree that the chatter for op units continues to get, to be more frequent. Obviously, our stocked with the increase in appreciation is getting to a point where the conversations are, certainly developing into potentially some deals. But I do think as if the tax structure does change in terms of what the new administration is proposing, that could accelerate the OP funds in terms of transactions, and also potentially more deals for us to acquire, given the fact that the sellers will be looking at bigger tax impacts, as it relates to both at the corporate level and at the personal level.
Michael Gorman: Excellent. Great. Thanks very much.
Stuart Tanz: Thank you.
Operator: And we have no further question. At this time, I will now turn the call back to the presenters.
Stuart Tanz: In closing, I'd like to thank all of you for joining us today. We greatly appreciated your interest in ROIC. If you have any additional questions, please contact Mike, Rich or me directly. Also, you can find additional information in the company's quarterly supplemental package, which is posted on our website as well as our 10-Q. Thanks again and have a great day everyone.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. Have a wonderful day. You may disconnect.